Kenny Green: Ladies and gentlemen, thank you for standing by. I would like to welcome all of you to Camtek's Results Zoom Webinar. My name is Kenny Green, and I am part of the Investor Relations team at Camtek. All participants other than the presenters are currently muted. Following the formal presentation, I’ll provide some instructions for participating in the live question-and-answer session. I would like to remind everyone that this conference call is being recorded and the recording will be available on Camtek's website from tomorrow. You should have all received by now the company's press release. If not, please view it on the company's website. With me today on the call, we have Mr. Rafi Amit, Camtek's CEO; Mr. Moshe Eisenberg, Camtek's CFO; and Mr. Ramy Langer, Camtek's COO. Rafi will open by providing an overview of Camtek's results and discuss recent quarterly trends. Moshe will then summarize the financial results of the quarter. Following that, Rafi, Moshe and Ramy will be available to take your questions. Before we begin, I’d like to remind you that the statements made by management on this call contain forward-looking statements within the meaning of the Federal Securities laws. Those statements are subject to range of changes, risks and uncertainties that can cause actual results to vary materially. For more information regarding the risk factors that may impact Camtek’s results, I would encourage you to review our earnings release and SEC filings and specifically the forward-looking statements and risk factors identified in Camtek’s 2024 Annual Results, PR, and other such risk factors discussed in the latest Annual Report on Form 20-F as published on March 21, 2025. Camtek does not undertake the obligation to update these forward-looking statements in light of new information or future events. Today’s discussion of the financial results we’ll present it on non-GAAP financial basis unless otherwise stated. As a reminder, detailed reconciliation between GAAP and non-GAAP financial measures and results can be found in today’s earnings release. And now I like to hand the call over to Mr. Rafi Amit, Camtek's CEO. Rafi, please go ahead.
Rafi Amit: Okay. Thanks, Kenny. Hello, everyone. Camtek conclude the first quarter with record performance. Q1 revenues reached $119 million, reflecting a year-over-year increase of more than 20%. The quarter also saw a significant improvement in gross margin, which rose to over 52%, contributing to a record operating income of over $37 million and nearly 30% increase compared to the same period last year. The distribution of revenue was 45% to 50% from high-performance computing applications and about 20% from other advanced packaging applications. The remaining revenue was distributed among CMOS Image Sensor, compound semiconductor, front-end applications and general 2D applications. As OSAT began producing modules for the HPC market, it is challenging to determine, which of our systems installed at OSATs were specifically intended for HPC modules versus other advanced packaging application as a result, we are providing a range. During the quarter, we sold systems to over 35 different customers with many purchasing only one or two tools. This highlights the robustness and diversity of our business model. There is a broad consensus that the tariff policy and the geopolitical situation have created some uncertainties in the market environment. However, the tariff policy does not directly affect us in any material way as most of our sales are not targeted at the US market and our manufacturing is based in Israel and Europe. That said, the geopolitical issues and tariff policy have been raising concern, particularly regarding their potential negative impact on the global economy and the demand for end products containing electronic components and therefore, affects visibility in our market. Regarding the impact on Camtek business, currently, we have not seen any impact on our business in terms of delays or order cancellation. We have customer base spread across different regions, and we have technological leadership and maintain competitiveness. Regarding our guidance, we continue to see strong momentum heading into the second quarter. And based on current orders, our pipeline and ongoing customer engagement, we are guiding Q2 2025 revenue in the range of $120 million to $123 million, representing approximately 18% year-over-year growth compared to the second quarter of 2024. In addition, we have a healthy backlog for Q3 and expect a solid quarter. Regarding HPC segment, we continue to see ongoing investment in the HPC segment with deferring momentum across regions, some experiencing slower investment while other progress at a faster pace. Our customers, including OSAT are consistently expanding their capacity in both CoWoS, CoWoS-like technologies as well as HBM. Our primary growth engine for the upcoming years will be advanced packaging, particularly in high-performance computing, supporting the AI applications. New technologics are expected to be introduced, for example, HBM device maker are preparing for higher memory content as well as transition to HBM4 next year. The outcome is expected to drive new tools requirements with better technical capabilities. We believe we are in a very strong competitive position supported by the successful launch of two new models, the Eagle G5 and the Hawk, both of which have been extremely well received and highly valued by our customers. These two models bring cutting-edge technology to the market, and we expect them to account for a significant portion of our revenue this year. This is a significant milestone, reflecting the strong confidence our customers have in our latest technologies. A noteworthy example of our customers' recognition and support of our technology is the recently announced Intel EPIC Supplier Award. The Intel EPIC Award honor top performances in Intel supply chain for their commitment to EPIC performance, excellent partnership, inclusion and continuous improvement, out of thousands of Intel Supplier globally, only a few hundred qualify to participate the EPIC Supplier program. To earn the Intel EPIC Supplier Award, companies must not only meet, but exceed Intel's highest expectations and achieve ambition strategic objectives that align with Intel core priorities. In conclusion, we are fully aware of the global business uncertainty. And we remain in close dialogue with our customers to continuously assess and monitor the situation. However, I believe that Camtek diversified customer base, technological edge and our strong market position in the advanced packaging market, provide us with great resilience compared to our peers. We are a leading provider of OI system, offering highly competitive capabilities in the advanced packaging market with a particular focus on the fastest-growing segment of the HPC. Our customer base is geopolitical diverse, and we are proud to serve over 200 active customers worldwide. The unique combination of scale and flexibility is a key reason why many customers choose to work with us over larger competitors, who are often slower to respond. And now Moshe will review the financial results. Moshe?
Moshe Eisenberg: Thanks, Rafi. First quarter revenues came in at a record $118.6 million, an increase of 22% compared with the first quarter of 2024. The geographic revenue split for the quarter was; Asia, 91% and the rest of the world, 9%. Gross profit for the quarter was $61.8 million. The gross margin for the quarter was 52.1%, an improvement from 50.6% reported both in the first quarter of last year and previous quarter. This is on the high end of our range, supported by a favorable mix in the quarter. Operating expenses in the quarter were $24.4 million compared to $20.2 million in the first quarter of last year and $23.1 million in the previous quarter. In the last few quarters, we have been increasing our R&D and sales and SG&A expenses to support the growth in revenue. Operating profit in the quarter was $37.3 million compared to the $29 million reported in the first quarter of last year and $36.3 million in the fourth quarter. The increase is due to the increase in gross profit, partially offset by the increase in operating expenses. Operating margin was 31.5% compared to the 29.9% and 30.9%, respectively. Financial income for the quarter was $5.4 million, a decrease from the $5.6 million reported last year and from the $6.2 million in the previous quarter. The decrease was caused by exchange rate differences versus the US dollars. Net income in the first quarter of 2025 was $38.7 million or $0.79 per diluted share. This is compared to a net income of $31.3 million or $0.64 per share in the first quarter of last year. Total diluted number of shares as of the end of the first quarter was $49.3 million. Turning to some high-level balance sheet and cash flow metrics. We generated $23.6 million in cash from operations in the quarter. Cash and cash equivalents, including short and long-term deposits and marketable securities as of the end of the quarter were $523 million. This compared with $501 million at the end of the fourth quarter. Inventory level increased to $141.5 million from $123.1 million. The increase over the quarter is mainly a result of building inventory for the 2 newly introduced products, the Eagle Gen 5 and Hawk to support sales in the coming quarters, which is expected to be significant. Accounts receivable remained stable at around $100 million, which represents 77 days. As Rafi said before, we expect revenue of between $120 million to $123 million in the second quarter. And with that, Rafi, Ramy and I will be open to take your questions. Kenny
A - Kenny Green: Thank you, Moshe. At this time, we'll begin the question-and-answer session. If you have a question, please raise your hand via the Zoom platform. I will introduce you and ask you to mute after which you may ask your questions. As we have a lot of people on the call, we'll take a few moments to pull your questions. Our first question will be from Charles Shi of Needham. Charles, please go ahead.
Charles Shi: Thanks, Kenny. Good afternoon, Rafi, Moshe, Ramy. The first question, your competitor reported not a long ago and they talked about the KLA, the largest process control competitor coming into their field more around sub-micron defect detection, I believe it's part of the 2D AOI market and especially around HPC type of applications. Do you or do you not worry about larger competitors like KLA coming after your market, especially 3D metrology, we would love to hear some of your insights. Thank you.
Kenny Green: Rami, could you.
Ramy Langer: Yes, I will address it. Hi Charles and thank you for the question. We've already engaged with KLA on multiple locations and have consistently demonstrated that our systems are highly competitive. The advanced packaging is a highly dynamic market and demand equipment customizations and I would say, very rapid responsive. We are content is a midsized company and as such, it is well-positioned to better meet the specific requirements of this unique market. On top of it, our latest product, the Hawk and the Eagle G5 offer competitive advantages, and we are confident in our ability to continue and expand our business and market share in this -- and facing the competition coming from KLA. And I want to summarize it again. We have a unique combination, scale and flexibility that is a key reason why many customers choose to work with us over the large competitors who are often slower to respond.
Charles Shi: Thank you, Ramy. Another question -- Rafi, I think you talked about HBM4, new technical requirement. I want to ask you or anyone on your team how do you think about the product positioning in HBM4 is because you have two new products, Eagle G5 versus Hawk and as I understand, the ASP throughput are very different between those two platforms? And more importantly, I think going to HBM4, as your customers look to, I mean, either upgrade the technology, expand capacity, do you think they're going to lean towards buying new tools from you, especially the new platforms? Or do you provide potentially upgraded path for them to maybe upgrade the existing installed base to really meet the new technical requirement? Thank you.
Ramy Langer: So, you now, Charles, people here buy new equipment, they don't tend to upgrade the current equipment. But I think we are in a very good position. No doubt, some customers will want the Hawk in order to provide the best possible performance and specifically throughput at a lower footprint. That's definitely an advantage and one of the reasons we developed the Hawk. So, I think there will be a combination of those customers for specific applications that will take the Hawk, while, I think the Eagle with its very large installed base in this market, I believe some of the customers will still want to go with the new versions of the Eagle. So, I think this even puts us in a much better position compared with our competitors that we are here really with multiple selections or multiple product approach as we enter this market.
Charles Shi: Thank you. Maybe lastly, do want to -- just as every quarter, I think some of us going to ask this question. HPC revenue, 45% to 50% of the total revenue in Q1. What's the current view for the full year? How much will HPC account for the total revenue for the -- on a full year basis based on the current outlook right now? Thank you.
Ramy Langer: So, it's very hard to talk how look. But at least in the foreseeable future, I think we'll be in a similar range. This can differ from a quarter-to-quarter. It's really based on shipments. But overall, the HPC continues to be a strong segment of us, and we see the growth potential and there's no further comments on it.
Charles Shi: Thanks.
Kenny Green: Thanks, Charles. Our next question is going to be from Matt Prisco from Cantor Fitzgerald. Matt, you may go ahead and talk.
Matt Prisco: Hi, guys. Thanks for taking the question. So with the healthy backlog that you – for 3Q, how are you now thinking about growth overall into the back half of the year? Can you maybe walk us through the primary puts and takes you're thinking through today and perhaps what type of visibility you have from customers at this point? Thanks.
Rafi Amit: So I think we said it very clearly in our prepared notes, and I won't be able to share more of that. But we gave the guidance of increased revenues in the second quarter there, obviously, we really understand where the business is going to. As we go into the third quarter, we see a solid businesses where the backlog, the pipeline, and so we feel very comfortable about this as well. To go beyond that, it is very hard in our business, and we will be in a better position to discuss the fourth quarter, I believe, in a couple of months.
Matt Prisco: Thank you. And then maybe an update on where you stand on your new products. It sounds like you're calling for now significant revenue in 2025. It sounds like a little more than three months ago, and you're talking tens of millions outlined previously. So I guess what has changed versus three months ago there? Can you talk about any new orders, customer feedback, new applications that may be opening? Any additional color would be great. Thank you.
Rafi Amit: Yeah. So definitely on this -- on the new products aspect, definitely, we have a lot of good news. I think we are seeing performance as we expected from the new machines. They are really meeting exactly the specification in certain cases even doing some better than what we expected. So yes, customers are continuing to order. We've received more orders for both products. I think on the G5, definitely it provided us a few advantages over the competition in areas that we felt that we were not strong enough and I think the market is reacting very, very positively for it and specific applications, we're able to take more business than we expected previously. And on the Hawk, yes, it's gone through application and to the valuations. We've got excellent feedback from our customers. We've got orders, and we are shipping them. And as we said it will be significant revenues in this year for both product lines. Both product lines will produce significant revenues, and that's definitely a great result. And you know, we chose also what we discussed a quarter ago that our customers have confidence in products that we bring to the market, and we definitely are showing it. And we are shipping those products as we speak.
Matt Prisco: Okay. Thank you.
Kenny Green: Thanks, Matt. Our next question is from Tom O'Malley from Barclays. Tom, you may go ahead and ask.
Kyle Bleustein: Hey, guys. This is Kyle Bleustein on for Tom O’Malley. Thank you for taking our question. So on the gross margin front, you guys talked about getting a higher point with new mix. Can you kind of talk about some of the puts and takes going forward and especially as you ramp these new product lines, when do you expect them to be accretive to margins and kind of how that shapes through the year?
Moshe Eisenberg : Okay. So we've mentioned in the prepared remarks that the gross margin improvement is a result of the product mix. And we expect next quarter to be within the 51% to 52% range as well. And as we are starting to ship more and more units from the new product both the G5 and the Hawk, this will have a positive contribution to the gross margin gradually. So we expect to see a more significant improvement to the gross margin only next year. But still, we are definitely on the high end of the gross margin level.
Kyle Bleustein: Very helpful. Thank you. And then for my follow-up on the tariff point, you guys mentioned that you're not really seeing any headwinds from your business just based off of your manufacturing locations and your customer mix. On the flip side, do you guys see like opportunities for share gains versus some of your competitors that maybe having more impacts from tariffs or uncertainty in this environment.
Rafi Amit : First of all, you've seen the news. I mean this is something that is changing every day. And I think in this case, there is a 90 days truce, truce they decided only to go down to 10% or whatever the numbers are. So definitely, this is something that is changing. We don't see any competitive advantage here or anything that is going to change the picture. And we are monitoring the situation.
Kyle Bleustein: Thank you.
Kenny Green: Thanks. Our next question is going to be from Blayne Curtis of Jefferies. Blayne, please go ahead.
Blayne Curtis : Hi, guys. Thanks for taking my question. I wanted to go back to HPC. I think you mentioned -- maybe you can talk about HBM versus kind of CoWoS outlook. And you mentioned some different geographic trends. It seems like one of the great customers is digesting. Is that what you're seeing? And I guess, in HBM, are you seeing strength elsewhere?
Rafi Amit : Well, these are two questions while I'll try and value them. So obviously, our expectations in both applications, both markets are based on discussions with customers, market analysts and trying and understanding where this market is going. So if I look at the HBM, definitely there is growth going to be in the forthcoming years. And the application today is the -- is primarily the AI, the server based AI, which continues to fuel the HBM and DRAM needs and also, in this case, also the CoWoS. But as you go down the road and look at a longer-term, there are going to be consumer devices such as AI-powered laptops, smartphones, they're going to enter the market. And these emerging applications are still today in the early stages, but they are expected to generate substantial demand in the -term. Now again, so this is one aspect. Then there is the transition for HBM3 to HBM4. Now this brings additional opportunities with more inspection and metrology stain the manufacturing process. And when you look at the HBM, in '27, there is going to be a major change in the density of the memory. Again, that's going to be a very big opportunity for added capacity. And I think on the cohorts, the good news and I think, as we said, as Rafi said in the prepared notes, there is the move from today, the main foundries that dominate the cost capacity, to the OSATs. We are already getting business from OSATs that are doing similar technologies. So definitely, both of these applications are tied together. We are very optimistic about this market. And I want to say something specifically about the HBM. We are shipping tools to HBM for 3D Metrology to the inspection in 2025. And we're expecting to ship in 2026 as well. So, all-in-all, the building blocks of the HPC are both healthy -- of course, it's too early enough to talk about the growth rates every year. But if we look at the long-term, both segments are going to grow significantly over the foreseeable future.
Blayne Curtis: Excellent. And then maybe I wanted to ask about the trends outside of Advanced Packaging. I guess if I did the math right, it seems like in the March quarter, it was up 20%. Can you maybe just talk about where you're seeing strengths and kind of your outlook as you look to the June quarter?
Rafi Amit: So if we look outside of just the 45% to 50%, so definitely, there is the Advanced Packaging, and that's anywhere between 15% to 20% additional business. And this goes to the conventional applications. And if it is fan-out, it's still a strong market, and there are other applications from bump inspection and so forth. So these are applications that will continue to grow, and no doubt this is a business we are going to enjoy in the foreseeable future. And then there is something 35%, what I call 2D applications. And it goes from general 2D application to front-end, still compound semi, and even got some a bit of CMOS Image Sensors. That's a business that's sort of picking up a little bit, this year. So, if you want to look and I want to talk a little bit, as we've spoken in previous quarters, as you can see, our 2D business is very, very strong. And don't forget that out of the 70% of what we call advanced packaging, a lot of it is inspection. So overall, our inspection business is much larger than our 3D Metrology business. So that, I would give you a little bit an overall about the entire business. And I believe that the next quarter will be similar.
Blayne Curtis: Excellent.
Kenny Green: Thanks. Thanks. Our next question will be from Brian Chin of Stifel. Brian, please go ahead.
Brian Chin: Hi. Thanks. Good afternoon. Thanks for letting us ask a few questions. Maybe just to clarify, the solid quarter in respect to third quarter mean flat or higher sequential revenue? And then also following up on the last few questions is the company expecting year-over-year improvement in Logic or CoWoS revenue in 2025? And what portion of your HPC Advanced Packaging revenue is likely to be CoWoS versus HBM this year?
Rafi Amit: So let's start from the end and go backwards. So first of all, we don't give details exactly how much the HBM versus the CoWoS is changing from quarter-to-quarter, and we just provide the overall number for high-performance computing. But both, as I said in my previous remarks, both segments are healthy. As to the revenues from 2025 in the overall revenues, when we are talking 45% to 50%, obviously, this is on increased revenues compared to last year. So we will need to see how much is Q4 coming out the final in order to give the numbers. But at least at this stage, the business is higher than was in 2025. But obviously, we see it in '24. As we move forward, we will be able to give you more information. And definitely, in Q3, you asked the question. I think it is too early in the game to say exactly how it will be compared to Q2. As we said, it is solid. We are building the backlog we have the pipeline in place. And so this is very positive. But to give numbers, we would only provide them at the end of the next quarter.
Brian Chin: Okay. Fair enough. And then just quickly for maybe the follow-up I think, Ramy, when you spoke about change in HBM density in 2027. Are you specifically referring to hybrid bonding -- and how would you assess the competitive landscape in Camtek's positioning once that transition occurs?
Ramy Langer: No, no. I'm referring to something totally different. If you look at the density, of the HBM compare it for GPO. So it's the more today, it's about 288 gigabyte, it's supposed to go to be closer to terabyte. So this is from the internal what the NVIDIA GPU will require in order to run optimally. So the memory that is going to be required in 2017 is going to be significantly higher, that is currently being used. So this is nothing to do with the manufacturing process. Regarding hybrid bonding. So as we said in previous calls, I don't think it will be -- it will take some time until we should see hybrid bonding in our markets in very high volumes. But one city is here, we see that as an opportunity. We are already supplying machines to pilot lines we are going to be part of this application. And there are many steps doing hybrid bonding that I think that we're going to do both in inspection and metrology.
Brian Chin: Thank you.
Kenny Green: Thanks, Brian. Our next question is from Gus Richard of Northland. Gus, you may go ahead and ask.
Gus Richard: Yes. Thanks for fitting me. I was hoping you could give us an idea of what your market share in HPC was from, say, last year and maybe a few years before and what the trajectory has been?
Ramy Langer: And it's a very hard question, Gus. I don't know the number. I look it, I think in -- in most of the cases, and I can just recall from the top of my head, I think we have maintained the market or have grown it by going into more and more, I would say, 2D applications. So I think we are on a positive trajectory in this market. And I think when we move to the OSATs, I think this trajectory will be even more positive as we shall be doing both the 3D metrology and a lot of the inspection steps. So looking forward, as I said and I referred to the competition coming with KLA, I think we have a very, very strong market position. We are leveraging a very strong -- very, very strong position in the 3D metrology into the inspection portion. And I think we will continue to leverage it and increase our market share as we go along. I definitely -- yes, it is competitive. I think we are very well positioned from all the different reasons that we discussed earlier.
Gus Richard: Got it. That was helpful. And then this is sort of when I think about you getting designed into a line, when a customer makes a decision, a tool decision, are you getting designed into a full line? Is it specific applications in line? Or is it a generational decision where how do customers split the mix between yourself and other vendors in the market?
Ramy Langer: I think that when they design, they start to design the initial one for the buying reasons, they usually start with certain applications, but then they know what you can do. And from what I see our customers is evolving. And I think one of the reasons that we are successful that our customers know that if there is a new application, even that the machine did not exactly was designed that need some upgrades or changes or upgrades, we will be there to support them. And I think this is a major part in the purchasing decisions that the customer makes when he understands there are a lot of unknowns. So I think from that point of view, I think it's a plus on our side.
Gus Richard: Got it. And that's it for me. Thank you.
Ramy Langer: Thanks, Das.
Kenny Green: Thanks, Das. Our next question is from Craig Ellis of B. Riley. Craig, please go ahead and ask your question.
Craig Ellis: Yeah. Thanks for taking the question and good afternoon team. I wanted to start out just understanding how order intensity and dynamics are tracking as we look at what transpired in 1Q and how things are trending 2Q to date and with regard to order dynamics, as you look at what's coming in, how much of orders are coming in more on a turns basis for current quarter versus pipelining out to help that solid 3Q or even beyond that into 4Q?
Ramy Langer: So there is some uncertainty in the market. And as usual, during such times, customers are more cautious to release POs well in advance. Now it's too early to say if this will have any impact on our business, especially given the latest news about the tariff discussions. In any event, when I look at the situation, we have not experienced any material impact on our business in terms of delays or order cancellations. So I would say this describes the situation currently.
Craig Ellis: Got it. Thank you, Ramy. And then the second question is really related to the target revenue level that the company has had for some time at $500 million. So if we annualize guidance, it looks like we're within about 3% of that. So congratulations on all the progress made over the last year or two in that regard. But the question team is more about how you're setting the sites and where you're setting the sites for your team as we look out to 2026 and 2027? How should investors and analysts think about the level of revenue that's possible for the business at this point with the $500 million target now getting so close? And any color on specific drivers or dynamics like that, that we would get to higher levels of attainment?
Ramy Langer: So I think there are two aspects for it. I would say the more -- a little bit longer term and things that are up to us. We have spent over the last year a lot of efforts in building the infrastructure to manufacture over $500 million in carry-zone clean rooms here and also in Germany so from the ability to manufacture from all the different aspects, we are ready. Now, on top of it, we've introduced two products to two new product lines: the G5 and the Hawk that we spoke a lot about. And you can see that within one year of the introduction, we are going to achieve significant revenues of these two products, and these two products open to us applications that we couldn't do before. So actually, what we have done, if you take from the inspection and metrology equipment, we have made in here or the Eagle and the Hawk are going to be able to address more applications and definitely we can see ourselves growing the business into new applications. And on top of that, we have the acquisition we made at FRT, that is also going very well, getting into new applications, doing things that we couldn't do before, and also -- and this is very nicely tied into our current business. So if I look at the things that we have achieved that I just discussed, I think from a business point of view, we're no doubt positioned to pass this milestone and further involve significantly business over the $500 million milestones. And maybe, Rafi, you want to add something.
Rafi Amit: No, the target of $500 million definitely is a target that we will execute. As we always said, it may take half year, one year, two years, but it's definitely depend on the market condition. And assuming the WFE growth and the demand for equipment growth, we definitely can achieve it, because we maintain our market share. We increased our market share. We haven't lost any market share yet. So in this position, it's just a matter of the semiconductor growth rate, specifically into advanced packaging and other applications that we are a leading provider.
Craig Ellis: A good position to be in indeed, Rafi, and if I could ask a follow-up to that. You're always extremely helpful on commenting on strategic matters in the businesses, doing a great job generating cash and we're at $520-ish million in cash and equivalents, $320 million net debt. The question is, how are you thinking about inorganic growth, which you've executed well in the past? Is the team working on a funnel now? To what extent could something be actionable? Help us understand, how you're thinking about inorganic avenues to grow the business? Thank you.
Rafi Amit: First of all, we maintain and we put a lot of focus on all the opportunity in the organic growth. We made one acquisition and this acquisition also performed nicely and maintain our expectation. So this is going well. We continue working on additional acquisition. But probably you know it's not secret. It's not so many companies and the semiconductor are for acquisition of acquiring. So we continue looking for that and maybe, hopefully, we can do something. But without considering the acquisition, we believe we can achieve the $500 million target within this year, the next year, very soon. As I said, as long as the market condition remains stable, we have not any insurance for any big crisis. So as all the analysts expecting that the semiconductor growth over -- by the end of the decade to come to $1 trillion, definitely, we can do it. We can do it. As I said, we are maintaining very good market share. We increased our market share, and we have a very good relationship with customer. So we can continue organically grow. Addition to that, hopefully, we can add with organic -- with any acquisition that we will execute. It will be over this number.
Craig Ellis: Thanks, Rafi. Thanks, team.
Kenny Green: Thank you.
Rafi Amit: Thanks, Craig.
Kenny Green: Next question will be from Vivek Arya from Bank of America. Vivek, please go ahead.
Michael Mani: Hi, this is Michael Mani on for Vivek Arya. To start, I know the company has been talking about TSMCs clean room capacity constraints and how that could be gating factor to the business in the near-term to medium-term. So on that front has the company seen any improvement in those constraints?
Rafi Amit: So at least what I hear, I don't think there are any constraints now on our customer side to increase the capacity. I don't think this is an issue.
Kenny Green: Any further questions? We’re just trying him back again. We lost him, I think. Vivek, are you still there? Vivek, you're muted.
Michael Mani: Sorry, can you hear me?
Rafi Amit: Now, we can hear you.
Michael Mani: Sorry, my system muted itself. Yeah. Okay. Thank you for that clarification. And then for my next question, you've talked about your cost opportunity expanding to the OSATs. But as we think about the progression of CoWos, in a more advanced variations like CoWos-L, for example, how does that impact your opportunity? And if you could tie that back specifically to where your Hawk to maybe seeing greater traction that would be great, too. Thank you.
Rafi Amit: So first of all, the CoWos-L brings to us additional steps and the opportunities. So from our point of view, the new variation of CoWos are good news. And so this is from the variations. From the OSAT point of view, they will add capacity and they will start with a certain version and move to other versions. Some of them have their specific technologies that is similar to CoWos. All in all, I don't think that they have any mutations in coming up with very competitive a CoWos technologies. And I can tell you from what I see in the market, I mean, this is volume business, and we are shipping quite a few products to these OSATs. So I think this is already happening. It's not something that will happen in the future. It's already happening as we speak.
Q – Michael Mani: Thank you. And if I could ask a quick follow-up. On your business related to China, what should we expect for your China business this year? How much is it declining, if at all? I think we've heard from some of your peers in the space that it could be down. They're seeing their sales down like 10% to 20%. Is that the kind of right ballpark to think and are you seeing more opportunities in that region in general as some of your peers could be faced with export restrictions and maybe -- and there might be market parts of that market they're unable to address. Thank you.
Ramy Langer: So it's very hard for me to say what we're getting new versus our peers. I can tell you that historically, our business in China was strong and it continues to be strong. We have won very good market share at a specific customer. And as Rafi alluded earlier, we have not lost any market share at any of our major customers. So I think from that point of view, our business continues to be strong. Now Moshe, maybe you can refer to…,
Moshe Eisenberg: No we don’t see – at this point, we definitely don’t see any weakness in this region, the business still looks healthy in the next few quarters ahead. Michael.
Q – Michael Mani: Thank you that answers all my questions.
Moshe Eisenberg: Thanks, Mike.
Kenny Green: Okay. Well, that will end the question-and-answer session. Before I hand back over to Rafi for his closing statements, I'd like to let everyone know that in the few next few hours, we will upload the recording of the conference call to the Investor Relations section of Camtek's website at camtek.com. And I would like to thank everybody for joining this call. And with that, Rafi, please put your closing statement.
Rafi Amit: Okay. I would like to extend my sincere gratitude to all of you for your continued interest in our business. Special thanks -- special thanks goes to our dedicated employees, an outstanding management team for their tremendous performance. To our investors, I deeply appreciate your ongoing long-term support. I look forward to speaking with you again next quarter.